Operator: Greetings, and welcome to the Helen of Troy Limited Fourth Quarter 2020 Earnings Call. At this time, all participants will in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. At this time, I'll turn the conference over to Jack Jancin, Senior Vice President of Corporate Business Development. Sir, you may begin.
Jack Jancin: Thank you, Operator. Good afternoon, everyone, and welcome to Helen of Troy's Fourth Quarter and Fiscal 2020 Earnings Conference Call. Today each member of our earnings team is in their homes and in different locations across the United States, and since this is the first time we're conducting our earnings call remotely we hope you will pardon any technical glitches. Before discussing today's agenda, I would like to call your attention to a change in how we define our sales. As detailed in this afternoon's earnings release, we now define core as strategic business that we expect to be an ongoing part of our operations, and non-core as business that we expect to divest within a year of its designation as non-core. Previously referred to as core business, organic business now refers to net sales revenue associated with products lines or brands after the first 12 months from the date the product line or brand is acquired, excluding the impact that foreign currency measurement had in our reported net sales. The agenda for the call this afternoon is as follows: I'll begin with a brief discussion of forward-looking statements. Mr. Julien Mininberg, the company's CEO, will comment on the financial performance of the quarter and year, our response to the COVID crisis, and discuss current business trends. Then Mr. Brian Grass, the company's CFO, will review the financials in more detail and reflect on considerations from the COVID-19 pandemic uncertainty as we enter fiscal year '21. Following this, we will open up the call to take your questions. This conference call may contain certain forward-looking statements that are based on management's current expectation with respect to future events or financial performance. Generally, the words anticipates, believes, expects, and other words similar are words identifying forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause the anticipated results to differ materially from the actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other companies. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the call over to Mr. Mininberg, I would like to note that a copy of today's earnings release can be posted to the Investor Relations section of our Web site, at www.helenoftroy.com. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. The release can be obtained by selecting the Investor Relations tab on the company's homepage and then the News tab. I will now turn the conference call over to Mr. Mininberg.
Julien Mininberg: Thanks, Jack. Good afternoon, everyone, and thanks for joining us. On behalf of Helen of Troy I would like to share my heartfelt hope that you, your families, and loved ones are staying safe and healthy during this extraordinary time. As we all know, COVID-19 has brought unprecedented disruptions to the global community, which in turn is experiencing an unparalleled impact on the economic activity across most sectors in all geographies. Situation is so dynamic that each day brings new developments. In response we are rapidly and continually adapting our business and leaning into categories where our Leadership Brands play a vital role right now, such as Vicks, Braun, PUR, and part of Honeywell and OXO. We have also taken major steps to protect our people, increase our liquidity, temporarily reduce our costs, and safely continue our operations. We have done all of this guided by our values with a focus on preserving the outstanding capabilities and systems we have built during our transformation. We came in to the crisis with momentum, and believe our actions have positioned us to serve all of our four major stakeholder groups, our associates, consumers, customers, and shareholders. We will give detail in each of these areas during today's call. Given the highly unpredictable nature of the COVID-19 situation we will not be providing guidance for fiscal '21 at this time. While we are taking actions every day to work through the current crisis, we remain focused on our Phase 2 plans and financial targets. With such a broad range of topics to discuss, my comments will first give perspective on our excellent fourth quarter and full-year results. They marked an outstanding conclusion to the first year of our Phase 2 transformation. Next, I will discuss our response to COVID-19 and how we are positioning Helen of Troy to navigate the current crisis. Finally, I will share recent trends we are now observing related to our business as the crisis evolves. Brian will then share a deeper view into our financials, including more insight on the business and environment as we move forward. Now, I would like to turn to our performance in the fourth quarter of fiscal '20. We finished the quarter well ahead of our expectations. Net sales grew 14.9%, with organic business growth of 13.4%. Sales growth was double-digit in each of our three business units. Leadership Brands led the way, growing 15.7% during the quarter. The online channel continued to be a major growth driver, up approximately 39% year-over-year, and contributing 24% of total fourth quarter sales. Customer replenishment continued to be healthy following the strong sell-through of our products during the holiday season. Separately, and late in the fourth quarter, thermometer demand further increased as COVID-19 began spreading across the globe. Turning to the full-year, across nearly every key measure, fiscal '20 was the strongest result in Helen of Troy's history. We grew both total organic net sales -- total and organic net sales 9.2%. We are delighted to deliver that acceleration on top of the 5.8% total net sales growth in each of our last two fiscal years, particularly in light of tariff-related disruptions, unfavorable foreign currency exchange, and the operational challenges from three consecutive years of significant organic growth. Leadership Brands grew 9.4% in fiscal '20, and accounted for approximately 80% of overall sales. Six of the eight Leadership Brands grew over the year. Our digital initiatives continue to generate results of online sales up over 34% during the fiscal year, to represent 24% of total sales. Adjusted operating margin expanded 50 basis points in a year when we raised our growth investments to the next level. Adjusted diluted EPS grew 15.4%, a meaningful acceleration on top of the 11.3% growth in fiscal '19, and 11.6% growth in fiscal '18. Operating cash flow grew over 35% year-over-year, demonstrating the strength of our flywheel and helping us maintain strong liquidity and low leverage even after the Drybar acquisition. On a strategic level, our multiyear growth investments in Leadership Brands, digital marketing, ecommerce, consumer-centric innovation, and global shared services have added flywheel momentum. We are proud to share that, last month; our two Housewares leadership brands were recognized by the NPD Group during their Seventh Annual Home Industry Performance Awards, for calendar year 2019. Hydro Flask was recognized for delivering the largest dollar share increase in the portable beverage category. OXO won the award for the largest dollar share increase in food storage, and OXO also earned NPD's new award as the brand delivering the largest overall market share increase in the total U.S. housewares industry. This is the third consecutive years in which OXO's market share gains have been honored by NPD. I would like to turn now to our business segments during the fourth quarter and the full fiscal year. I'll begin with Beauty, which delivered an outstanding quarter, and its best year of sales growth in at least a decade. Total Beauty sales increased 23.1% in the fourth quarter, well above our expectations. This included approximately five weeks of Drybar sales. Beauty organic revenue growth was 16.1%, also head of our expectations, and representing its fifth consecutive growth quarter. For the full fiscal '20, total Beauty sales increased 10.4% including Drybar, very strong. For Beauty Appliances fiscal '20 marks the third consecutive years of growth momentum, resulting in substantial market share gains. Over the past three years the improvement to our Beauty segment has accelerated under new leadership. Significantly more focus on developing the online channel, digital marketing, new products based on deep consumer insights for the retail and also the professional markets, and further improvements to the caliber of our organization have all paid off. Similar efforts were also made internationally in Beauty over the past two years, especially in EMEA, leading to growth and greatly improved profitability in Europe. During fiscal 2020, we increased Beauty investment and digital marketing to support new appliance innovation in both brick and mortar and online. These efforts, along with highly innovative new products have helped grow the overall appliance category itself, a welcome turnaround from a shrinking trend in recent years. Syndicated data shows that during the latest 52-week period, Helen of Troy further grew its number one share position in the online channel for U.S. hair care appliances and now holds a significant lead. Syndicated data in brick and mortar shows that during the latest 52-week period, we grew our number two domestic share position in U.S. retail appliances. First mover innovations such as the creation of the volumizer category of appliances continue to be a major driver and are a key focus area for us going forward. The Revlon and Hot Tools one step volumizer innovations have earned more than 40,000 consumer reviews with ratings of 4.4 stars and up pending on the site. We're extremely proud of this accomplishment and plan to build on our success with new product offerings later in fiscal 2021 and incorporate further consumer centric insights across our Beauty appliance portfolio, including Drybar. In Housewares, we certainly capped an outstanding year by delivering an impressive fourth quarter with net sales up 15% also topping our expectations. Houseware grew a remarkable 22.4% for the full fiscal year against a very tough year ago compared. Both OXO and Hydro Flask finished strong and both posted healthy growth for the full-year. Our investments in innovation, distribution, marketing and e-commerce are paying off with customers and consumers online and in brick and mortar, providing solid ROI and growing our market shares. OXO's unique and enduring excellence in Universal Design and clearly defines positioning influences all touch points across the consumer journey. OXO is all about better performance through better design and quality that makes everyday better. The two new MPD awards for OXO mentioned earlier confirm what we are seeing in our customer POS data, OXO's overall excellence and meticulously planned stream of consumer centric innovation resonate with consumers and win in the marketplace. Hydro Flask has had simply a fantastic fiscal 2020. Its distribution continues to expand as it did itself, resulting in high double-digit growth for the quarter and the year. According to third-party syndicated data, the 52-week period ending in February, Hydro Flask added incremental market share gains to further expand its position as the number one player in the U.S. metal beverage bottle market. During the quarter, we continue to grow the brand international. Domestically, we began to see high volume customers strategically expand OXO shelf, Hydro Flask shelf space to meet growing consumer demand. In February, we began shipping our 2020 Spring Collection. The new product lineup includes a variety of innovations, such as the new trail series, which is 25% lighter with no reduction in thermal performance, new colors, and a new finish texture. Spring collection also further expands Hydro Flask beyond the bottle with new lunchboxes in packs. The Just One More strategy for Hydro Flask continues to produce results in the quarter with loyal customers and consumers adding new sizes, colors, caps and accessories to their collection. Looking ahead, we expect Hydro Flask to continue benefiting from multiple long-term growth drivers. These include further expanding distribution and shelf space, Just One More okay maybe just two more among households that have already discovered Hydro Flask, new innovation in existing categories, new entries beyond the bottle, further growth and expansion internationally, more direct-to-consumer, collegiate, and much more customization. Net, we think Hydro Flask has a wide array of whitespace opportunities. Turning to Health & Home, our largest and most global business, we are focusing on delighting consumers with trusted solutions for healthy living and peace of mind, especially when they need us most. Health & Home's excellent fourth quarter results were ahead of our expectations with net sales of 10.5%. Sales in several of our Health & Home categories are highly correlated to the severity of winter weather and cough, cold and flu incidents that is generally more concentrated in our fourth quarter. For the recent 2019-2020 season, fall and winter weather was milder than historical averages, and the incidence of cough, cold and flu symptoms was only slightly greater than last year's below average season. Pediatric fever was the one symptom area where we did see higher incidence. Additionally, and separately, the spread of COVID-2019 during the month of February through Asia, Europe and into the U.S. added to Health & Home sales in thermometry, humidifiers, inhalants and air purifiers. Now turning to our response to COVID-19, we came into the crisis very healthy. We have strong business results, a trusted and diversified portfolio of leadership brands with significant market positions, exceptional people united by a powerful culture, highly capable global systems under our shared services, and a proven ability to stay nimble. As the crisis unfolds, we acted quickly and decisively to protect our people and reduce our costs doing so in a way that focuses on protecting the capabilities built during our transformation. On the product side, a key response area for us has been to provide essential health products that consumers need now. Thermometers under our Vicks and Braun brands, humidifiers and inhalants under the Vicks brands, and air and water purifiers under our Honeywell and Pure brands, all of these are critical at this time are highly trusted and are in high demand. We're working 24/7 to maximize supply and support customers and consumers. Outside of the health arena with families nesting at home, spending more time in the kitchen and more focused on cleaning and on storage as they pass the load, our largest leadership brand OXO is also seeing elevated demand online and in those brick and mortar stores that remain open. We have adapted our shipments and marketing focus to meet the major shifts for its online shopping as key retailers temporarily close major portions of their brick and mortar footprints. Our respond to the area protecting our people has been comprehensive and proactive from the start. It's led by a taskforce of senior leaders coordinating across all of our local sites. Measures include a work from home policy, social distancing, and our distribution centers, frequent and elevated cleaning protocols across all sites and a lockdown on nearly all business travel. Such a dynamic situation we will continue to adapt quickly to changes. Our cost interventions fall into two major categories, personnel cost reductions and significant delays in our fiscal 2021 discretionary spending. Most became effective earlier this month. We're treating the reductions like light switches that we're dimming or turning off now, and by preserving our underlying infrastructure of people and systems, we can turn them back on just as quickly and with minimal disruption when business conditions warrant. We greatly prefer this approach to permanent layoffs or reductions. It preserves our ability to run the business now, as well as the speed with which we can respond if the environment changes. On the personnel side, we have temporarily reduced salaries and wages across almost all parts of the company, effective April 6. Well, this was a very difficult decision to make, we chose this approach versus widespread layoffs in order to retain talent, protect what we have built and preserve as many jobs as possible. Hiring freeze, suspension of merit increases and promotions and other personnel measures have also been implemented. This approach of shared sacrifice, reaching all levels of the organization is highly consistent with our culture. Our people supported this approach and continue to do exemplary work, driving the business and keeping the company fully operational. I'm proud but not at all surprised that they are doing so with the passion, the dedication, and the ownership mindset that is the signature of all Helen of Troy people all around the world. In our distribution centers, we're reducing our external temporary labor and furloughing some full-time employees to match demand for furloughed associates covered under the company's health insurance plans, Helen of Troy is paying both the employee portion and the company portion of the premiums so they can maintain their coverage during the health crisis. Our second category of temporary measures focuses on reductions and delays to discretionary spending, such as brand and product spend, travel and certain capital expenditures. Our fiscal 2021 budget earmarked several substantial and incremental investments in our leadership brands and in key Phase 2 strategic initiatives. We believe we're making the right short-term business choices to delay some of these investments until later this year. And some will likely now fall into fiscal '22. The largest bucket for discretionary spending is marketing expense for our leadership brands. And we have also taken action on this problem. We are adapting our spend to match consumer demand and our supply for some initiatives, spending has been reduced while for others, a meaningful portion will be delayed until we have better visibility on demand and recovery. For those brands that are extremely relevant right now, we will continue this path. In all cases, however, to keep the pump primed for the recovery period. We will make appropriate, but reduced investments needed to help our brand stay top of mind. We continue to choice fully invest in new product development. Consumer-Centric Innovation is the lifeblood of our leadership brands. Innovation keeps them differentiated and is a core strategy in our transformation. Launches we are working on now will be key building blocks in the recovery period in fiscal '22 and beyond. And now I'd like to turn to the third and final area of my prepared remarks. Reflecting on some current trends related to the COVID-19 pandemic that we are seeing during our fourth -- first quarter and thoughts on the future as we navigate the crisis and plan for growth on the other side. One key trend area, already mentioned, is the greatly increased need for health-related products and awareness of their importance in people's lives. With the current intensive media, focus on health, all generations are getting a rapid-fire education on the importance of owning the types of products we sell under the Braun, Vicks, and Honeywell brands. As an example, households are reminded that they should have a high-quality thermometer. On ear thermometers, compliance and demand for close covers is way up as users look to ensure accuracy and hygiene and reduce the risk of contagion. Businesses are increasingly focusing on monitoring the temperature of their employees to help keep them safe and their sites operational. Inhalants, such as Vicks vapor pads and cost suppressing inhalants like Vicks vapor steam are an increasing demand as consumers take care of their families. Also in high demand, and getting additional media attention, are our highly rated and market leading humidifiers, such as from our Vicks and Honeywell models. Demand is also tough for our air purifiers, including our highly rated and market leading Honeywell models, which help improve indoor air quality. The strong sales in the fourth quarter and supply constraints from the COVID related factory shutdown in China. We are working very hard to maximize production and delivery from our factory partners in China, Mexico, and the United States. Another key trend is wellness. People are looking to protect themselves and their family through hygiene and cleanliness, as they spend more time at home, and more time with families together. Water purifiers like PUR Pitcher and Faucet Mount play an increasing role as do their replacement filters that are certified to reduce a wide range of contaminants. Demand is up for both, especially as water in single use plastic bottles remains increasingly undesirable and unavailable. The cleaning is top of mind to help protect the wellness of families, cleaning products from OXO are seeing elevated demand online and in stores that remain open. A third trend is the necessity of keeping more food and home essentials on hand, and cooking more at home. Families are discovering and rediscovering the joy that comes from cooking and baking together, especially with kids, only young in the house 24/7. Several core categories of OXO products are seeing elevated demand online and in stores that are open, particularly in food prep, baking home organization and storage containers, and the fourth trend we are seeing is the continued consumer interest in our highly popular beauty volumizer appliance franchises. Demand online in the stores that are open is higher than our supply. The steps we are taking to ramp up to full capacity at our key suppliers and add new ones are healthy, which will in turn allow us to meet much more of the demand and position us to be more fully in stock now, and also post crisis. As we look to the future, we are fortunate to have a seasoned leadership team, and a capable infrastructure. While this is not the first crisis many of our leaders, running Helen of Troy have worked through. It is our first pandemic of this magnitude. We believe the set of carefully considered actions we have taken to bring the company to the crisis will make a substantial difference in protecting our cash, our business, our people, and our high performing organizations. We will continue to adapt quickly as the situation evolves. Once the economy returns to some level of normalcy, we expect to lean back into all parts of our flywheel, including the key initiatives for the second year of Phase 2 of our transformation. Examples on a shared service side include further geographic diversification of our supply chain and upgrading our IT capabilities to match our growth. Meanwhile, we remain focused on other key aspects of our strategic plan, such as continuing to invest in our leadership brands. Key example is on the OXO brand. OXO recently entered into a partnership with 1% for the planet, an organization that champions environmental awareness and action, enabling brands to give back to a global network of nonprofits that champion environmentally responsible initiatives. OXO has spent 30 years making high quality products that last, engineered for functionality and durability. It's why we guarantee our tools for life. Approximately 90% of the impact of product will have on the environment is decided in the design process. OXO's core competency in design and engineering makes us uniquely qualified to develop tomorrow's tools, which will continue to be thoughtfully designed through the lens of environmental responsibility. OXO's partnership with 1% is a perfect fit for the brand and parallel, the rapidly growing interest that all of our stakeholders have an environmental and social responsibility. Another key example is to drive our integration, which remains on track and is a very positive reflection on the high level of collaboration across all departments and to drive our team, that team is now rapidly becoming a fully integrated part of Helen of Troy. We are proud that nearly all of the drive our people we asked to join us in January, accepted our offer and are hard at work on the brand. In conclusion, while things are difficult right now. We believe tomorrow, can be improved by successfully managing the challenges we are all facing today. I remain optimistic that we are making the right choices for our associates, consumers, customers, and shareholders. While much uncertainty remains the current crisis will eventually pass and a new normal will emerge. The entry of the crisis was straight and momentum. We see plenty of reasons to believe that Helen of Troy will brave the crisis, and we are confident that we will come out strong on the other side. Before turning the call over to Brian, I would like to share that Bill Susetka, the Director serving on our Board since 2009 announced his intention to retire at the end of his term in August. Over the past decade, Bill provided the company with a wealth of global consumer products industry knowledge, and a leadership experience from his very successful 30 years in marketing, and senior management for Clairol, Avon and later at the LPGA. The rest of the board and I are thankful and grateful to Bill for his service to Helen of Troy. His grace, exemplary character, consumer mindset, and counsel have been an instrumental part of our success. We wish him the very best. With that, I will now turn the call over to Brian.
Brian Grass: Thank you, Julien. Good afternoon everyone, and thank you for joining us. I'd like to echo Julien's comments and pass along my sincere wishes for the health and safety of you, your families and to your colleagues, the health and safety of our associates has been our greatest consideration since COVID-19 began, and it will continue to be as we move forward. As humbling as it has been, I've never been more proud of the company in the spirit of togetherness within it. I want to start by reiterating that the fundamentals of Helen of Troy's businesses remain strong. Even though the current operating environment has presented its share of challenges and uncertainty, our view of the longer-term opportunities we see ahead to further grow our business has not changed, nor has our view of the key strategies we have chosen in pursuing them. With our proven diversified business model and product portfolio efficient and scalable operating platform, strong balance sheet and ample liquidity. I believe we are well positioned to actively manage the things in our control and successfully navigate the current crisis, and a protracted economic downturn if that should occur. For discussing the quarter in more detail. I'd like to make a couple of broad points, first, consistent with our strategy of focusing on our leadership brands. During the fourth quarter of fiscal 2020, we committed to a plan to divest certain assets within our mass market, personal care business and recorded an after tax non-cash impairment charge of $36.4 million related to its goodwill and intangible assets. The assets to be divested including intangible assets, inventory, and fixed assets related to the company's mass channel liquids, powder, and aerosol products under brands such as Pert, Brut, Sure, and Infusium. We expect the divestiture to occur within fiscal '21. Accordingly, we have classified the identified assets as held for sale. In conjunction with this change, we now define core as strategic business that we expect to be an ongoing part of our operations and non-core as business that we expect to divest within a year of its designation is non-core, previously referred to as core business. Organic business now refers to net sales revenue associated with product lines or brands after the first 12 months from the date the product line or brand is acquired excluding the impact foreign currency re-measurement had on reported net sales. Today's earnings release contains tables that show core and non-core revenue by segment for the fourth quarter and fiscal years into 2020 and 2019. We've also included tables that present consolidated core and non-core revenue and adjusted EPS for fiscal 2020, 2019, and 2018. Finally, our upcoming investor presentation will include four years of consolidated core and non-core revenue and adjusted EPS. Second, as we noted in today's earnings release, we are deferring providing our outlook for the current fiscal year due to the rapidly evolving COVID-19 pandemic and the related business uncertainty. We expect to return to our historic practice of providing annual outlook once visibility improves. Now we'll turn to a discussion of our fourth quarter results. We achieved strong results in the fourth quarter with adjusted diluted EPS growth above our expectations, largely due to stronger than expected net sales and all segments and in particular beauty. We made the growth investments we referred to in our third quarter release, and we're able to lean in even further behind the strength of the fourth quarter. This resulted in compressed margins for the quarter, but still allowed for adjusted EPS that was ahead of our expectations and even more support behind our leadership brands, another example of the value creation flywheel at work. Consolidated sales revenue was $442.4 million, a 14.9% increase over the prior year, driven by double-digit organic growth in all three business segments and five weeks of contribution from Drybar. Consolidated sales in the online channel grew approximately 39% year-over-year to comprise approximately 24% of our consolidated net sales in the fourth quarter. The sales from our leadership brands grew 15.7% in the quarter, which includes 1.8 percentage points of growth from Drybar. This was another great quarter for our Houseware segment, which posted an Organic business, increased of 15% on top of 8.1% Organic business growth in the same period last year. Second, saw robust demand for both OXO and Hydro Flask brands both online and in -store. Health & Home organic increased 10.8% primarily due to new product introductions and increased demand, particularly infer monetary due to higher pediatric fever and the impact of COVID-19 toward the end of the fourth quarter. These factors were partially offset by lower sales due to net distribution changes year-over-year. Beauty organic business increased 16.1% primarily due to growth in both online and brick and mortar in the appliance category, partially offset by a decline in personal care. Drybar contributed net sales of $6 million or 6.7 percentage points of beauty sales growth resulting in total segment growth of 23.1%. Consolidated gross profit margin with 43.5%, compared to 40.9%. The 2.6 percentage point increase is primarily due to a more favorable product mix within all three business segments and a lower mix of shipments made on a direct import basis. These factors were partially offset by lower mix of personal care sales in the beauty segment. Consolidated SG&A was 34.4% of net sales, compared to 29.2%. The 5.2 percentage point increase is primarily due to higher advertising and new product development expense, higher royalty expense, an increase in amortization expense, and higher annual incentive compensation expense. These factors were offset by lower share-based compensation. As mentioned on our third quarter call, we had a shift in advertising new product development expense from the third to the fourth quarter, and we were able to lean into spending even further than originally planned during the quarter. Year-over-year increase in advertising spending increased our SG&A ratio by approximately 2.9 percentage points while still allowing us to exceed our full-year adjusted EPS expectations. We believe the investments made in the fourth quarter will benefit our businesses and keep our brands resonating with consumers in both the short and long-term. GAAP operating loss was $2.7 million or minus 0.6% of net sales, and included non-cash impairment charges affording $1 million. This compares to operating income of $44.1 million or 11.5% of net sales the same period last year. On an adjusted basis, consolidated operating margin was 12.2%, compared to 13.9% in the same period last year. 1.74 percentage point decrease primarily reflects higher advertising and new product development expense, higher annual incentive compensation expense and an increase in royalty expense. These factors were partially offset by a more favorable product mix and increased operating leverage from sales growth. Turning to segment performance, housewares adjusted operating margins decreased 6.3 percentage points to 11.8% primarily reflecting higher advertising and new product development expense to support strategic initiatives in higher freight and distribution expense to support retail customer strip shipments. These factors were partially offset by the impact of a more favorable product mix and increased operating leverage from sales growth. Health & Home adjusted operating margin decreased 1.4 percentage points to 11.2% primarily reflecting higher royalty expense and higher new product development expense. These factors were partially offset by the margin impact of a more favorable product mix and increased operating leverage from sales growth. Beauty adjusted operating margin increased four percentage points to 14.4%, primarily due to the margin impact of a more favorable product mix, increased operating leverage from sales growth and lower freight expense, partially offset by an increase in advertising and new product development. Income tax benefit as percentage of pre-tax loss was 48.1%, compared to income tax expense as a percentage of pretax income of 7.9% for the same period last year. The year-over-year change is primarily due to the recognition of a tax benefit from the impairment charges reported in the fourth quarter of fiscal '20. Loss from continuing operations was $3.2 million or $0.13 per diluted share, compared to income from continuing operations of $37.7 million or $1.47 per diluted share in the prior year. Non-GAAP adjusted income from continuing operations grew to $47.8 million or $1.88 per diluted share, compared to $46.6 million or $1.82 per diluted share. This represents the 3.3% increase in adjusted diluted EPS, which reflects higher adjusted operating income and the impact of lower weighted average shares outstanding partially offset by higher interest expense. Despite the lower growth in the fourth quarter, adjusted diluted EPS growth in the second-half of fiscal '20 was 18.4%, compared to 11.7% in the first-half. Looking at fiscal '20 as a whole, we over delivered against our full-year outlook, while making greater investments in the short and long-term health of our businesses. We delivered sales growth of 9.2%, expanded our adjusted operating margin by 50 basis points, grew adjusted EPS by 15.4%, and grew free cash flow by 45.6%. I consider it to be the best year in my 14 years with the company. Now moving on to our financial position for fiscal 2020 compared to fiscal 2019. Accounts receivable turnover was 67 days, compared to 68.3 days for the same period last year. For accounts receivable balance was $348 million, compared to $280.3 million at the end of fiscal 2019. Inventory turnover was three times compared to 3.3 times in fiscal 2019. Inventory was $256.3 million, compared to $302.3 million. Decline in inventory primarily reflect strong demand for Hydro Flask and volumizer products, while a strong demand for Health & Home products driven by COVID-19 at the end of the fourth quarter. Net cash provided by operating activities from continuing operations increased 35.3% to $271.3 million for fiscal 2020. The increase was primarily driven by higher cash earnings in a decrease in cash use for inventory. These factors were partially offset by an increase in cash used for receivables. Total short and long-term debt was $339.3 million, compared to $320.8 million. Our leverage ratio is approximately 1.2 times at the end of fiscal 2020. This compares to approximately 1.3 times at the end of fiscal 2019. Our free cash flow growth in fiscal '20 allowed us to keep our debt and leverage at a very comfortable level, even with the acquisition of Drybar in January, but we are not providing a formal outlook for fiscal '21. I do want to share with you how we're thinking about our business in the current environment and some early trends we are seeing. We're experiencing favorable demand trends for some of our products, while others are being adversely impacted due to retail store closures and consumer uncertainty. During most of fiscal '20, we have strong momentum in our housewares and beauty segments, which continued into the beginning of fiscal '21. At the end of the fourth quarter, the company also began to experience increased demand for certain products in the health and home segment, particularly in for monetary. So far, this trend has continued into fiscal '21 become more pronounced and other product categories such as humidification, water purification and air purification. Additionally, at the beginning of fiscal '21, the company began to experience favorable demand trends for OXO products as consumers engage in pantry stocking, cleaning, nesting, and cooking at home. Some of you may recall that our OXO business grew consistently through the great recession a decade ago. Products that are more discretionary in nature are more dependent on the retail brick and mortar channel are generally experiencing unfavorable sales trends, despite strong demand for our products, in most of the channels that are still open for business, such as online, grocery, mass and club. Overall, our revenue is being adversely impacted by the effect of brick and mortar store closures, limited hours of operation, and lower score traffic, simply because the weight of brick and mortar and the retail environment and our business. We're also experiencing supply chain disruptions with some major third-party manufacturers, which are adversely affecting our ability to meet consumer demand in those product categories whereas a strong. As such, we expect the net effect of COVID-19 will adversely impact our revenue for the first quarter and full fiscal '21. As part of our comprehensive approach to preserve our cash flow and adjust for cost structure to lower expected revenue, we have implemented a number of measures that will remain in place until there's greater certainty, a reopening of retail customer stores and improved consumer demand. These measures include graduated salary reduction for all associates including named executive officers and the other members of the company's executive leadership team. The reduction in the cash compensation of the Company's Board of Directors, especially merit increases, promotions and new associate hiring until further notice. Furlough of associates in specific areas directly tied to sales volume with assistance to those associates to maintain health insurance coverage, as well as a reduction of external temporary labor and reduced work hours. Production for deferral of marketing expense is the mean in the brands with strong current demand and reduce investment in other key brands without sacrificing brand awareness, limited reduction of investment new product development launches and anticipation of more normalized economic activity, elimination of travel expense in the short-term, with a significant reduction plan for the second-half of fiscal '21 and reduction in consulting fees and capital expenditures for projects that are not critical. March 24, 2020, we borrowed approximately $200 million under our revolving credit facility, part of our comprehensive precautionary approach to increase our cash position and maximize our financial flexibility in light of the volatility in the global markets resulting from the COVID-19 pandemic. After giving effects of the borrowing, the remaining amount available for borrowings under the facility was $536.4 million, and our cash and cash equivalents on hand was approximately $393 million. As previously announced, we entered into an amendment of our credit agreement in March. The amendment extended the maturity from December 7, 2021 to march 13, 2025. Further, the amendment increased the revolving commitment from $1 billion to $1.25 billion. The amendment also reduced the interest spread within our pricing grid to make favorable changes to covenants and borrowing limitations, including a new leverage definition that allows for the subtraction of cash and cash equivalents when calculating our leverage ratio. As a result of our COVID-19 response to actions, strong revenue growth at the end of fiscal '20, and lower inventory levels, we continue to generate strong cash flow growth in March and April, and our liquidity has further improved since the pandemic began. As of yesterday, our pro forma net leverage was 0.9 times. We have approximately $380 million of cash and cash equivalents on hand. We have approximately $605 million of remaining availability under our credit agreement. Although we expect our free cash flow to take a step back in fiscal '21 as we build healthy inventory levels and the retail environment looks for stability, we expect our balance sheet liquidity position to remain strong. In summary, while we are humbled by the tragedy of COVID-19 and its unprecedented impact on our society, strong balance sheet, ample liquidity, diversified product portfolio, and scalable operating platform combined with our COVID-19 response actions, the Phase 2 transformation plan lead us to believe we are well positioned to steward the company through the challenges of the current environment. And we are prepared for a variety of longer-term scenarios that could occur. If the economy were to deteriorate further for a protracted period of time we believe we have the balance strength and liquidity to navigate the economic cycle. And we could take further actions to reduce spending and preserve cash flow if it became necessary. If the economy were to improve as we emerge from the crisis we believe we are poised to capitalize on the investments made in fiscal '20, and those planned for fiscal '21. Our businesses had strong momentum leading into the crisis, and we expect to continue to feed that momentum as brick-and-mortar retail stabilizes, the online channel thrives, and the consumer adjusts to a new normal. And with that, I'd like to turn it back to the operator for questions.
Operator: Thank you. And this time, we'll now be conducting the question-and-answer session. [Operator Instructions] And our first question is coming from the line of Olivia Tong with Bank of America. Please proceed with your questions.
Olivia Tong: Thanks. Good afternoon. Hope everyone is well. I want to dig further into your visibility on demand across your key business segments over the balance of the year considering all the volatility across your channels. If you can give us a sense of either of performance since quarter close, any volatility from early March to now? If you could also discuss the retail relationship, and also how you're going about planning for the next three quarters given potentially very different scenarios we could be in? And then secondly, what you're doing on advertising to create awareness in Braun, Vicks, Honeywell to the extent that you have product to satisfy the demand while also supporting some of the more discretionary businesses? Thanks.
Julien Mininberg: Got you. Yes, hi, Olivia. Thanks, a bunch of things in there, and nice to talk to you. Sorry it's a virtual one today, but you've come through loud and clear. In terms of the questions, starting with the demand that we're seeing now, in our prepared you heard, I hope, some bright spots. There's some significant attention to our products, first of all starting in health and home, and we are seeing a lot of demand in all the categories mentioned, and in thermometers included, and first among them for obvious reasons on COVID-19. Extends beyond though into the humidifiers, the inhalants, I think cold and cough; the cough especially, and in the case of the water purifiers and, importantly, also air purifiers. In OXO, where the brand specifically -- you heard the comments that we made, and OXO has been holding up especially well online, and in stores that are open, that the year-over-year comps are very, very good, in fact ahead of a year ago. In the case of Beauty, we're also seeing now and it's getting better week by week especially as the supply situation unfolds, to see significant demand, especially around the Volumizer franchise, and also to see the growth week-over-week and depending on which store. Stores like Target, Walmart, Amazon are three very large examples in our top five customer group that are experiencing that trend on Beauty, so that this is good to see. In terms of supporting them, we are supporting them, especially where the stores are open. There's -- the company has gotten very good online. We're far from perfect, but we're miles ahead of where we were just a couple of years ago. So we're supporting the dotcoms very precisely, and we can advertise on their sites, and on Amazon, tremendous amounts of support in terms of digital marketing where we have product and where the customer is able to shop. So that's happening. And in the case of demand in general, where it's poor is in the places where the stores are closed, obviously. And with brick-and-mortar still bigger than online in total sales, that's why Brian made the comments of its net got some damage in it, just like everybody else, but with Helen of Troy more developed online than pretty much anyone else that we're aware of in our industry. We think we're faring better than most, and also having those healthcare products makes a big difference. I think there was another question inside your comments. I may have missed that one, Olivia. Sorry.
Olivia Tong: No, no worries. I guess wanted to also ask you about the divestiture, why now? Because we know it's not your favorite business, but is there something else you're looking to do, a desire to create liquidity or something else? Just trying to better understand the timing given where deal multiples are now post versus pre COVID.
Brian Grass: Olivia, it's Brian. I can start, maybe then Julien can jump in. I just want to address it's not liquidity driven. We had made the decision to do this far -- well, not far before, but sometime during the fourth quarter before COVID-19 had begun becoming what it is today. So no, it wasn't liquidity-driven. We just feel it's the right time to focus on our leadership brands. And we think the asset is better off in somebody else's hands who can give it the time and attention it deserves.
Julien Mininberg: Again, my build on that, Olivia, is we've seen some tremendous strength in the Leadership Brands. You heard the numbers we just reported for the year, also the quarter, and then over the last three years-plus in Beauty now -- the three years in Beauty, and many quarters in a row we've demonstrated not only the ability to grow in appliances, but now also the ability to grow the appliances sufficiently to make the whole segment the biggest in a decade, that you heard in the prepared remarks. In terms of the Personal Care, as Brian said, yes, it's probably better off in the hands of a company for which that's core, those types of mass market personal care products. And then in our case it's not only a matter of focus, just a matter of where we're having success and where we want to put the next dollar, and from a liquidity standpoint it's far from our minds. In fact it's not even on our minds. Well, we have tremendous amount of liquidity now. We have low debt; we have high cash flow coming into the crisis. So it's not like we're selling the furniture. And then in terms of what we do with the proceeds and all of that, those are high quality problems to have if the times comes, and at that moment we'll put it to work on something that's [pouring future] [Ph] for us.
Olivia Tong: Great, thanks. And then just lastly, just a little bit more color around the decision to delay the guidance for fiscal '21, obviously understand, a very challenging backdrop. But is it -- can you talk about like what your biggest worries are, is it just the COVID-19 obviously was a big piece, is it recession, or is there something specific internally as you look into 2021 that kind of gives you pause, because obviously we understand the term, any divergent trends, and all that? Thanks.
Julien Mininberg: It's a great question, and I'm very glad you asked so that all can hear and in the public call here. That the sole reason we're not giving guidance is COVID '21 uncertainty that I think the vast majority of other companies have done exactly the same. It's -- I don't know if I an say this the right way but I'll try, which is I think it would almost be irresponsible for us to give guidance at this point for the simple reason that not only do we not know from a future standpoint the shape of the pathogen, what it will take, the course it will take. But I think anyone who says they do is almost certainly wrong. And I don't want to judge for other people, but I think it would be hard for a serious company to say, "We've got this, and we know exactly where it's going. And we can see the entire next 12 months." I don't think anyone can say that with certainty, and in the case of Helen of Troy there's no other reason, whether it's a V shape, a W shape, and L shape, a U shape, and we've heard it all. What we're doing is looking at our business and the prospects that we have, and making what we think are the best decisions, but there's no other reason whatsoever on the subject of guidance. Brian, I know you had a build there.
Brian Grass: No, I would just say, I mean, knowing when stores, retail stores will open in earnest and be open consistently, and when the consumer will be in those stores is a huge gap in visibility that's very difficult to give guidance against. Also, we were chasing demand in a few areas leading into the crisis. And then there was Chinese New Year and the crisis on top of that, which has put a lot of disruption into the supply chain that we also still have to work through. And so you combine some supply disruption from COVID-19 along with low visibility on demand, and I think that points you in the direction of that giving guidance would be irresponsible, as Julien said.
Olivia Tong: Okay, thanks so much, great to hear from you.
Operator: Thank you. The next question is from t line of Bob Labick with CJS Securities. Please proceed with your question.
Bob Labick: Good afternoon and great to hear your voices. And I hope everyone on the call is doing well, and safe and healthy. Wanted to start, maybe you could talk a little bit about some of the hurdles for some of your brands to shift to almost -- nearly 100% online. Is there enough inventory in the marketplace? Are you forced to use air cargo to replenish? And maybe specifically talk a little it about, because you mentioned Amazon obviously, and have they -- I've read that they had shifted to not taking on inventory of nonessential items. How does that impact or how has that impacted Hydro Flask or Drybar or things like that? Just give us a little sense of what's going on with some of the lack of bricks-and-mortar retail and how you're trying to get supply to market.
Julien Mininberg: Yes, you bet, great question, and nice to hear from you, Bob. We've been on our quite period for a long time, so it's nice to come out and be able to chat. In the case of the shift to online, it is big. I think it's important that people know, and I think they do, that not all brick-and-mortar is closed. In the drug channel the pharmacy stores are open, and in the mass market channel, the Walmart, Target is two huge examples, if generally open. Not every department and not every place are perfect, but there is a footprint out there, and then when it comes to online, stores that are closed, like an ulta.com as an example, but there are so many others where the -- bedbathandbeyond.com, and on it goes. There's plenty of online activity that it's surging, and is multiples of its historical run rates even taking into account the growth. So if something is growing 25%-30% year-over-year, just double its size and then grow on top of that. This is what we're talking about, so these are big. In terms of us supplying those, your point about essentials is important. Originally, and this is like a month ago or maybe even three weeks ago, big players like Amazon were restricting the product assortment to what they would call, essentials, and they would literally have a list with a capital E of what's in and what's not. And then over the course of the last two or three weeks the list of essentials has been growing longer and longer. And we, and I'm sure other companies, but certainly we have been pretty successful in getting many of our products added to the essential list, including I'd say probably 90% of Hydro Flask at this point. And so you see a lot of new skews being handled by those players. Our own DTC Web site, so think of oxo.com, hydroflask.com, et cetera, has been very active because consumers are ordering from us directly on the internet, and we're fulfilling from our distribution centers without any retailer involved. We've also kept the post office, and FedEx, and all of that in good spirits as we ship a lot of that product. So there's enormous activity in this space, and our people are really rising to the occasion. In terms of the amount of demand, as Brian said, it's not enough to overcome all of brick-and-mortar, but as I said before, for a company that's well developed in that case we don't have to ship that much more on to online; we're already extremely active in this space. And from a digital marketing standpoint, to Olivia's question earlier, we are very active on supporting the businesses to keep things moving, and to make sure we get good ROI and top-of-mind, and all of that, and then on the supply side, we're working very, very hard to make sure there's enough product. It's always the skews that are in the highest demand and the hardest to keep in stock. And we are having some problems, as Brian called out, in those areas with the combination of chasing demand last. Going into last quarter, the epic result that we just posted today from last quarter, the Chinese New Year, COVID-19 itself sweeping through the China factory base, and now ourselves replenishing demand -- sorry, supply as quickly as we can to feed all of that. So, hopefully that gives a little color on the whole cycle.  Brian…
Brian Grass: Yes. Sorry, Julien. Bob, it's Brian. I know you asked about air freight. Yes, we've done -- make sense both from a demand perspective and a cost perspective. There's a situation now where it's become very costly to do that. So we have to be even more choiceful when we decide to do it, or we're not doing it, but yes, it's something we did in the fourth quarter.
Bob Labick: Got it, okay, great, and then just…
Julien Mininberg: Yes, I want to say on certain areas, sorry, I just want to make sure people knew that in the healthcare essentials, our standard is a little different for the air freight. We will lean in a little bit more there just because we appreciate the essential reality, and it's we still want to profitable and do all the right things on the one hand, the other hand that people just need the product.
Bob Labick: Got it, okay. And then last quick one for me. You mentioned the Drybar integration is kind of on track, but just can you give us a sense, I don't remember if we knew this from before the world seems to have changed online. How is their ability to sell online through their own site and through some -- and then also as it relates to them, how are the synergies and manufacturing and procurement going, or is that impacted in the short-term?
Julien Mininberg: Yes, the second one first, not impacted. We're making very good progress on the subject of manufacturing. We're bigger by maybe 10, 20 times something like this. I'd have to do the math on the appliance side, especially and Drybar and get a little bit more of the ability to leverage our scale and a much broader supplier base. We know the Drybar suppliers well and we've been working with them and one of them is a current major supplier to us and we've been working with them. They're cooperating nicely. So the terms and the scale advantages are going well. The other is one that we know well, but don't work with as much. And we're working now to improve the overall situation for the benefit of both. On the liquid side, the team is fully intact and Drybar, and is very active supplying the liquids. Back to the first question of how Drybar is doing in the dot com and all of that, people should know a couple of things, and we've announced before that the salons themselves which are all closed today represent roughly the 20, 80 or 20% of the Drybar sales for products. The 80 is primarily split between Ulta and Sephora, both of which on a brick and mortar side are closed, but are booming online, and so, the Drybar sales online for those two, Ulta and Sephora are doing extremely well, but it's not enough to overcome the brick and mortar. And in the case of the Drybar stores, there is an active direct-to-consumer aspect and that is extremely active right now on if you were on their mailing list for example, you could see a lot of offers and reminders and the things for home like think dry shampoos and taking care of yourself at a time when wellness matters and people that kids climbing the walls and all that. Just to give people a chance to take care of themselves during that time. I know Brian has got some builds here.
Brian Grass: Not, Julian, I think you covered all the points I would have made.
Bob Labick: All right, thank you very much.
Julien Mininberg: Sure. Thanks, Bob.
Operator: Thank you. Our next question is from the line of Rupesh Parikh with Oppenheimer. Please proceed with your question.
Rupesh Parikh: Good afternoon. Thanks for taking my question. So the first year I wanted to start helping home, so we get a lot of questions on your thermometer business, so just want to get a sense of your ability to ramp up capacity and also whether you currently serve the B2B channel and whether that's an opportunity going forward.
Julien Mininberg: Yes, it's a great question. So thermometers are booming in general, and nobody likes the reason COVID-19, but we don't cause the problem. We're very glad to be a part of the solution to the extent that we can be there for people. We have production facilities that we work with these are third parties through China and also in Mexico. And some parts, for example, the probe covers for the infrared thermometers or the Braun, ear thermometers same product is in the United States. So it's not just a China thing or a transport thing. This is a capacity thing. So, on the savage of capacity, we've been greatly improving the capacity out of Mexico, a significant numbers at double-digit kind of increases to get the maximum number of red thermometers into the marketplace now, and we don't have the Pacific Ocean to cross there. So, there's a speed aspect to it as well. In the case of the probe covers where the demand is more than doubled and that's a very important product for hygiene for, helping to prevent contagion and also the accuracy of the thermometer measurements themselves. That demand is easily running it, that's made in the United States. And then we've made significant double-digits improvements in the capacity there as well. And on China as the factory production comes back online, it's actually generally almost full strength now. There are some government interventions in China especially in March where a lot of the product was being directed in China by the government for China during their peak for COVID. As that has come down and their restrictions are easy, that product is flowing much better now. And we work with multiple suppliers across all different models. So there's lots of different places to do the different types. On the B2B side, it is an opportunity and as I mentioned in my remarks, I'm glad your customers are picking up on it, not what we said, but with a B2B, which is that employers want their facilities to be safe. They want their people to be safe, and they're increasingly wanting to measure temperatures on people's way in the door, especially in a no contact with noninvasive types of things for it as an example of that. We make a lot of forehead thermometers, and now the B2B demand is extremely high. From a sales channel standpoint, it creates a development opportunity for us. And while I can't predict what the new normal will be like on the other side of COVID-19, if you think back to 911, you know, the kind of airport security that this year to this day, what's that 20 years on? There is just a new normal in that world. I wouldn't be surprised if there is a new normal in the temperature checking world, but it's hard to predict such things in the heat of the moment. Either way, it's an opportunity for us.
Rupesh Parikh: Okay, great. And then going back, I guess this is falling onto Olivia's question earlier, just in terms of trying, so at least in retail, it appears, at least in recent weeks, you see an acceleration maybe driven by some of the stimulus out there. So if you look at some of your more discretionary product properties, like maybe Hydro Flask. Have you also seen maybe, I guess consumers retrenching late March, early April, and then, feeling better, maybe seamless, is helping and trends picking up look at any more color just in terms of how some of those discussion and categories are performing recently?
Julien Mininberg: Yes, I'll make a broad comment and then specific to Hydro Flask. So broadly we are seeing week over week demand improve. So this is just true in general. It's especially true online, and it's now also true in the brick and mortar stores that are open, and it's also true for Hydro Flask. So whether you're talking about a volumizer, the OXO products that we called out specifically, and we can go through, which categories it's helpful to you, and other beauty products and now also Hydro Flask. You say, why now, it's because of the essentials list thing. So the online for Hydro Flask the essentials listing has improved and that has helped us considerably. And then consumers themselves it's possible what you say would be speculative for me to confirm or deny, but I think it makes sense that as consumers feel more comfortable that they've got the stimulus checks, and they can have at least some visibility into the current situation. The idea of making purchases like that maybe makes a little more sense than two or three weeks ago. Consumers are also just kind of clamoring. I think, I don't -- just common sense that the two words that Hydro Flask stands for in it's selling line, which are let's go probably is about the best two word summary of how 7 billion people on the planet earth feel, which is let's get outside and do some stuff. And I think, it's springtime in the Northern hemisphere, the weather is improving, the restrictions are losing.
Rupesh Parikh: Okay, great. Thank you for all the color. I'll pass it along.
Julien Mininberg: Yes. Hopefully it's enough. I really can't predict the future. Nobody I can, but I can say the week over weeks, they're simply improving and that there are meaningful improvements. And I can say that the trends are - it's not like, oh, this week is better than last week. So we'll tell you it's been every week for the last couple of weeks, and then the trends I just mentioned are all happening. The health and home, it's a bit different. That one is more symptom and a COVID driven. So that that's different than how consumers feel or how brick and mortar stores are behaving. It's simply that people want to have humidifiers and air purifiers, water purifiers, and they need the monitors. You'll see recommendations and there is some pretty big and widespread newspaper articles on humidifiers our products. I think they were five recommended in one very prominent newspaper national distribution. And they highlighted three favorite products or five favorite products. Three of them were ours. So it means that we're getting pretty good attention. I think people are also getting an education now, especially Millennials and others who might think that I don't need that for my parents, thermometer, humidifier or something like that, and now they're all looking to buy them, so there's just good trends out there.
Operator: Thank you. Our next question is from the line of Linda Bolton-Weiser with D.A. Davidson. Please proceed with your question. Yes, hi Linda.
Linda Bolton-Weiser: So I just wanted to kind of clarify, I mean your tone quite frankly is very positive across categories that I wouldn't expect it even. So I guess just in thinking forward, I mean, I think there's a consensus view out there that we're in a severe recession. And in the last recession, your revenue did decline. I think it was in the mid single digits, if I'm remembering correctly. And your portfolio is not exactly the same, but it's largely the same as it was back then, I guess with the addition of Hydro Flask. So how should we think about the overall portfolio this time around versus the last recession? Maybe, once we get past this surge and demand for certain COVID related stay at home items, how should we think about your business a couple of quarters out? And maybe you could also talk about just the trading down phenomenon in some of your more premium priced product lines? And whether you anticipate there might be some of that that might happen? Thanks.
Julien Mininberg: Sure. Yes, it's a good question. Nobody's immune to recession. But I think it's important to break products into two groups. One is things people need, so think of staples and separately, things people would like, but maybe there's a substitute that's trading down or cheaper to your to your point. I think it's also good to look at the last major recession and ask what happened, so you've already answered one, which is you can see what our portfolio did. We've made some significant improvements in our portfolio since then, but if the question of what happened last time, there's a good mathematical answer and like you said we had not such a big decline compared to so many other companies. Some products that you might think are premium and essential, premium yet essential like OXO kitchen things, you might think people will trade down like crazy. Why I buy the $10 can opener when you could buy the $2 can opener, especially if you just don't have a job, and nonetheless, during the Great Recession about a decade ago, OXO grew 25%. So this was there was no global pathogen. There was no pandemic, there was no multi-trillion dollar government stimulus directly to consumers at that time, it was due to TARP program, and there it was mostly asset and banking. There were other things happening a decade ago that are happening today. So I don't know if it's directly comparable. I can also say that a lot of our products are thriving. So think of the Health & Home ones that we've mentioned in this environment because of the essentiality and on things like Beauty, the volumizers where the demand is so strong, that even in this environment, we can't keep up with this on the supply standpoint. We're working very hard to improve that by the way, but seeing good stuff. And on the store closures, this is the difference this time that wasn't true last time that all the stores were closed for a month or something. But that is the case this time. And there's not a great cure for that if you can't buy at a store that is not open, and you can't go to a store if you're supposed to stay in your house, and the last thing I'd say is very different is online. Helen of Troy was a low single digit online player, a decade ago today it's 24% online players reported in the numbers we gave just an hour ago, and those numbers are significantly better and the market for online products is way more penetrated. Younger people are buying Amazon Prime, and none of these things existed a decade ago. There's a little perspective and some comparison but it's not the same, it's not the same drivers, not the same recessionary environment.
Brian Grass: Yes, this is Brian. I just add I mean, the weight of Beauty 10-years ago was dramatically different than it is today. Beauty was a core business. At that time, we had acquired OXO that we hadn't even acquired the healthcare type business. So we have a healthcare business today. We have a business OXO that that grew consistently and robustly last time this occurred. And we have a lower weight of Beauty and what we do have in Beauty, it's very high in demand now, and we've seen that consistently and as Julien said, the trends have actually improved. So we are having trouble keeping up with the demand for the volumizer and our Beauty business. And then I would agree that we weren't penetrated online like we are today. And I think we're ahead of our peers in terms of online penetration. So I think our portfolio actually works in our favor and the comparison to 10 years goes relevant, but I think we're a different company than we were in.
Julien Mininberg: On the downside, I'd say Drybar, the launch close right now, just to start right there, but also, that's a much higher end product, and it's one that's more discretionary. So women will I believe soon enough to want some time away that wants meet time, they want some pampering, they always want to look good, and I wouldn't be surprised if there's a rush on nails, hair color, and also haircuts and blowout style, and the social events and travel and all that pick up over time. And all the reasons why Drybar thrive so much will presumably be the back in the shelf.
Linda Bolton-Weiser: Okay, that's all for me. Thank you.
Julien Mininberg: Nice to talk to you.
Operator: Thank you. Our final question is from the line of Steve Marotta with CL King & Associates. Please proceed you're your questions.
Steven Marotta: Good evening, Julien, Brian, and Jack. Julien, would you say that the largest supply demand dislocation of all your product lines is currently occurring in thermometers. And I diligently took notes in what you're doing to endeavor to remedy the supply chain from a thermometer standpoint, when do you think based on current levels of demand, current levels that supply chain can catch up to that?
Julien Mininberg: Sure, yes. Let's start with the first one. Just repeat the second one, I get. The first ones make sure I hear it one more time, please.
Steven Marotta: You've noted a couple of product categories that are current, where demand is currently outstripping supply where you're chasing product volumizers being one of them, I'm asking these thermometers, the leading category where demand is outstripping?
Julien Mininberg: Yes, I'd say the answer is yes. I might have to go back in triple check just to make sure I don't take it down the wrong path, but I believe the answer is yes. It's not alone though because of the volumizer comment. And so it's important. It's not just that one we're seeing demand very high in a couple of other categories. On the thermometer side, we're talking historic kind of situation, this is a global pandemic. It's unlike others. The only other pandemic I'm aware of in the lifetime probably most of the people on this call was this Swine Flu pandemic, which was roughly a decade it goes 2009, 2010 like that period of time, and at that time, it's not the kind of situation that we're in now because I don't think too many people died from Swine Flu. And there was none of the social distancing and two week incubation and the quarantine and other things that are being seen today. So I don't think that those two pandemics are so comparable. So the thermometer thing is off the charts. And then high fever spikes are highly correlated to the early symptomology for this disease, so thermometer is a big deal, that's the driver. So yes, I think it's likely that that's the outside. And Brian, I think you had a comment on this and then we'll move to these other questions.
Brian Grass: Yes, there's definitely a constraint in thermometers, but the advantage we have there is some of our key skews are manufactured in Mexico. So the lead time is shorter, and then the things that aren't manufactured in Mexico, thermometers because they're small lend themselves to being efficient from an airfreight perspective. So we can more efficiently airfreight the supply and when we're constrained on the thermometers, then we can and hairdryers and some of the bigger items. So, yes it is there, demand is very, very strong and hard to keep up with it from a supply perspective but our supply chain structure and the nature of the devices do make it better in terms of being able to ramp-up the supply and get the product here where we need it. So it's a little bit better in that sense, but still a challenge because the demand is so strong.
Julien Mininberg: Yes, and I think I mentioned earlier and also in the Western Hemisphere, the probe covers for the ear thermometers we're the overwhelming market leader by 20, 30, 40 share points, these kind of numbers in ear thermometer. So we're the big player that the number of probe covers we sell you'll think of it as like a number like 1 billion, that that's a big number. The demand is multiples of that. So it's not like we could just one more and one more shift and make a few more of course we've done all of that, you maxed out the molds, maxed out the shift work, maxed out all the materials and all this stuff has been done. We've also made some, I'd call it lever interventions with the suppliers to increase the capacity from there and take in numbers of like 20%, 30% this kind of thing and in the case of the ear thermometers, it's also the case we've increased the capacity. Then in China, where there's plenty of production, the demand is overwhelming. So we're getting the absolute most we can out of the supply chain there, in every single day, we're shipping thermometers, people should not hear that just because they see it out of stock in the store that we don't have any, it's that we're allocating what we have making more as fast as we can and putting it into the market, but the demand is high enough that there's just not enough. In the case of volumizers, it's a completely different driver. It's just the product is extremely hot and people want them even in this environment. It's hard to create enough, so we've brought on other suppliers, other component suppliers like motors, and we have expedited to the point where it pays out like we're trying to stay on top of air freight. Yes Brian?
Brian Grass: Yes, COVID-19 had an extreme impact on the ability to have volumizers to meet demand, it happened right on top of Chinese New Year. And it took a while for factories to be able to have the labor or the components to be able to do production again because the componentry was also limited by other factories that weren't able to open. So COVID-19 had a very large impact on the demand and as Julien said, our capacity has ramped up now to 90%, 95% getting close to 100%, but there's lead times on production from China and airfreight is very expensive right now. So we will have to be choiceful on what costs we choose to add to meet the demand.
Steven Marotta: Great, that's helpful, thank you very much.
Julien Mininberg: Yes, pleasure. You had a second question there. I don't know if it got enough attention, Steve.
Steven Marotta: I'll take it offline. Good, thanks.
Julien Mininberg: Okay. Yes, no problem. And I hope people do understand it's important that they know that the supply it's not like we don't have product, we don't have enough product, which is a good problem to have, but we would like to be able to satisfy the market in full and that's where the 24/7 is happening, and then in other areas, we're doing fine on that. I think the net of it all and Brian mentioned this in his prepared remarks is there's not enough stores open to overcome all the goodness. So, the net is tough to grow in the environment, but every single place where we can be successful we are, and the places where the demand is surging, we're selling literally everything we have, and in the places where we can help develop or feed the market like online where we're strong, we're not only feeding it, but the market itself is strong, and then we're supporting those brands to make sure that consumers have awareness, it facts out the digital marketing when the press inquires and we answer the very best we can to keep the information accurate in the marketplace and to make sure people know what to do at a time when everybody is worried about health and let's do the very best for their family. And when it comes to more discretionary things like the OXO type of products, maybe you've seen it in your own homes, the demand for cooking-related, cleaning-related, storage, this kind of stuff is super high and the products are benefiting meaningfully from that situation, and that being close together as we put in our script, children, old and young, and I could say that, you know, at the age of 55, I'm doing a lot more cooking than I ever had in my life. Thank you.
Operator: There are no additional questions at this time. Let's make any final comments.
Julien Mininberg: Yes, thank you, Operator. We appreciate everyone being here with us today, as well as your support. We're very, very proud of our strong fourth quarter and the full-year performance we just posted for fiscal 2020. We're also proud of the outstanding start that that represents for Phase 2. It was the first year of Phase 2 and it was a great one. We are working very hard to address the COVID-19 crisis to continue to advance our Phase 2 plan and to emerge strong as the economy reopens. We look forward to speaking with many of you, and this will happen in the coming days and weeks. We thank you very, very much, and hope you have a wonderful evening. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. We thank you for your participation.